Operator: Good day, everyone, and welcome to the CBS Corporation First Quarter 2015 Earnings Release Teleconference. Today's call is being recorded. At this time, I would like to turn the call over to the Executive Vice President of Investor Relations, Mr. Adam Townsend. Please go ahead.
Adam Townsend: Good afternoon, everyone, and welcome to our First Quarter 2015 Earnings Call. Listening on the phone is Sumner Redstone, our Executive Chairman; and joining us for today's remarks are Leslie Moonves, President and CEO; and Joe Ianniello, Chief Operating Officer. Les and Joe will discuss the strategic and financial results of the company, and then we will open it up for questions. Please note that statements on this conference call relating to matters which are not historical facts are forward-looking statements, which involve risks and uncertainties that could cause actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's news releases and securities filings. A webcast of this call and the earnings release related to today's presentation can be found on the Investors section of our website at cbscorporation.com. Reconciliations for non-GAAP financial information related to this call can also be found in our earnings press release or on our website. And with that, it's my pleasure to turn the call over to Les.
Leslie Moonves: Thank you, Adam, and good afternoon, everybody, and thanks for joining us. I'm very pleased to tell you that CBS turned in a strong quarter yet again, with EPS hitting $0.78, another record. This marked the 21st consecutive quarter that we have grown our EPS while continuing to invest in our future. Our consistent success is driven by the performance of our content and all the new ways we are monetizing it. Certainly, the world is changing. New dynamics are popping up in our industry every single day. As a result, there are winners and losers. The good news is that CBS will continue to be a winner in any scenario. This is because we are wonderfully positioned. We are clearly one of the best companies in all of media when it comes to benefiting from changing consumer habits. No matter the size of the bundle or the method of distribution, audiences simply can't live without our programming. Verizon has a new bundle that we're part of. Sony has a bundle that we're part of, and you've all heard a talk about Apple as well, and there will be more. The good news for us is that in every bundle, from what exists now to the new ones that will come along, CBS will have to be a major part of every service that wants to succeed. And in smaller bundles, we will always get a bigger slice of the pie, and that means higher fees for CBS. At the same time, we are proactively launching our own content platforms, too, including the very successful debut of CBS All Access and the upcoming Showtime over-the-top service, which will be announced soon. As we find new ways to monetize our content, we are also increasing our output of quality programming across the company. From the #1 television network where we're growing our viewers, to the increasing demand for our shows in global syndication, we are producing the content viewers want to see. In fact, across all platforms, we have more viewers today than we did 11 years ago. Our hit shows are performing particularly well with our SVOD partners who are finding predictably that great content is not so easy to produce. You need a great explorer like Marco Polo to find the actual audiences that's watching some of these programs. Our success means that we have the capacity to return tremendous value to our shareholders. During the quarter, as promised, we repurchased $1 billion of our stock. In fact, since the start of 2014, we have retired more than $7 billion of our stock, including this $2.7 billion we returned after we split off Outdoor. All of these is in addition to the nearly $400 million we paid out in dividends. Going forward, you can be certain that we will be steadfast in our commitment to return value to shareholders. So with a growing audience, increased licensees and continued rapid growth in retrans and reverse comp, we are poised to continue our remarkable run and deliver for our investors for years to come. Now let's take a brief look at each of our businesses, starting with entertainment. Then I'll turn it over to Joe before we take your questions. The CBS Television Network is just about to end a season as the most-watched network in the country. It will be the seventh consecutive year and the 12th time in 13 years that we have achieved this feat. We are #1 in viewers, and once again, we are up. In fact, we're up 5% from a year ago. On average, we're beating the competition by the very wide margin of 2.5 million viewers, which is twice as large as last year's lead. We're also #1 in 25 to 54 and in 18 to 49, where within 146,000 viewers of NBC in a year in which they had the Super Bowl. Subtract the viewers that they gained from that game, and we're #1 in 18 to 49, too. And guess who has that game next year? CBS. One of the big reason CBS is having such a strong finish to this season is the addition of Thursday night football. Adding games this past fall tightened up our schedule and allowed us to save more original programming for later in the season when others had repeats. Primetime NFL games also helped us to have one of the best batting averages ever. In terms of launching new shows, virtually, all of our new shows this year have been hits, including NCIS: New Orleans, Madam Secretary, Scorpion and CSI: Cyber. And even better, these are shows we own; meaning, they will now be monetized for years to come. We will capitalize on this opportunity again next season when we bring back Thursday Night Football with a significantly bigger and better schedule of games. And as I've said, we'll also have Super Bowl 50 in addition to our usual Sunday afternoon package. So next year will be the biggest year any network has ever had with the NFL with Thursdays, Sundays and the Super Bowl, and we'll be the biggest full season viewer number anyone has had in a long, long time. CBS Sports and other marquee events also are performing extremely well for us. Last month, the final round of the Masters drew 14 million viewers, up 26% from 2014, and the NCAA Men's Basketball Championship attracted more than 28 million viewers, making it its highest-rated game in 18 years. You heard from our partners at Time Warner about how the tournament drove revenue for them, and needless to say, this helped us as well. CBS News also continues to build its audience during the first quarter. All of our signature news programs were up, including our flagship broadcast, CBS Evening News with Scott Pelley and CBS This Morning. In fact, CBS This Morning is the only morning network newscast to add viewers this season and is now delivering its largest audience in more than 2 decades. Plus, we're attracting new and younger viewers to CBSN, our digital streaming news network. CBSN continues to exceed our expectation and expand into new platforms. And once again, we are doing this without the cost associated with the Cable News Network. Also, during the quarter, we launched a whole new franchise in late night, The Late Late Show with James Corden had a strong debut, and the audience is building, including the highest ratings yet earlier this week. Creatively, the show is way ahead of where we expected it to be. That's having an especially good success online and in social media, where it's #1 in its time period. And because we own this show, we're now able to monetize these views as well. This represents a whole new opportunity for us in late night, and it's one that will replicate on an even larger scale with the launch of The Late Show with Stephen Colbert in September. Speaking of the late show, this is a bittersweet moment for us. David Letterman changed the game in late night television, and we are very proud of all that he has accomplished. So when he takes his final bow in 2 weeks, it will truly be an end of an era. But there is no better person to take up the mantle than Stephen Colbert, and we are very much looking forward to his debut. Also, in broadcast television, The CW is about to finish its most-watched season ever. This includes the outstanding first season of our new owned series, Jane the Virgin. We look forward to building on The CW's momentum when we announce our new fall schedule next week. So from prime time, to sports, to news, to late night, it's a great time to be heading into the upfront. May 13 is right around the corner with scatter pricing up double digits. We can't wait to get started. CBS's ratings growth, demographic strength and a complete and stable schedule are once again the pillars of what we will offer our agencies and clients. And yes, I'm very confident that we will lead the marketplace in pricing and volume. And no, I'm not giving a numeric projection other than to say, no one will enter the upfront or the new fronts in a better position than CBS. In addition, C7 will be an even bigger part of our negotiations again this year as we move from C3 to C7, and to beyond 7 days, there's a tremendous value that will continue to be unlocked. Delayed viewing is allowing to significant innovation in terms of more data, more analytics and more targeting capabilities, and we are determined to get paid for all of it. In fact, as the marketplace continues to improve here in the second quarter, I like what we're seeing in terms of the future of advertising with CBS. There will always be new shiny objects, but one spires look at every type of advertising that there is, old and new, they're realizing that nothing can compete with the effect of this at CBS. Our Head of Research, David Poltrack, is proving this fact to a new program that documents a client's return on investment when advertising with CBS. And as we just announced, we are #1 in virtually every consumer group imaginable. In addition to our improving outlook on advertising, we are very excited by the growth we're seeing in our nonadvertising revenue streams. Retrans and reverse comp continue to rise at a rapid clip on their way past $2 billion in 2020. International revenue also grew strongly during the quarter, and we continue to take advantage of the high demand for our content as new markets and platforms open up around the world. And SVOD is now more competitive than ever in terms of buying premium content as evidenced by Hulu's recent spending spree, which is another good sign for us going forward. So we're selling SVOD in a big way, but we're also selling traditional syndication in a big way as well. We are now selling the same product many times, and the overall pie is growing. What remains very, very clear is that the value of hit programming continues to drive the syndication marketplace on any platform. In fact, more than half of the top 50 highest-rated nonsports telecast on the USA network this season were episodes of NCIS, and all of the top 50 highest-rated nonsports telecast on TBS were episodes of The Big Bang Theory. As you know, these are the #1 shows on CBS and in all of television in their respective genres. The point is: Viewers will continue to watch the best content wherever they can find it. Repeat viewing on cable and digital is bringing viewers back to new episodes on the network, creating a virtuous cycle for those who have the best programming. And once again, let me remind you, we have 50 -- 15 of the top 20 scripted programming on television. As we grow our nonadvertising revenue, we're also very encouraged by the early success of CBS All Access. The majority of subscribers are signing on to watch past episodes of current CBS shows which is available nationwide. Meanwhile, the live linear feed of CBS has now expanded to more than 55% of the country through deals with a number of our affiliate groups, including Hearst, Gray, Meredith and Raycom. We expect the whole country to be able to stream CBS live before long. With every subscriber we add, we are raising the bar in terms of what CBS is worth in the marketplace. We're also looking forward to rolling out our new Showtime over-the-top service in the coming months. There are 10 million broadband-only homes that cannot currently subscribe to Showtime. Going over-the-top will allow us to reach these consumers. There are also nearly 100 million television homes that may want to subscribe to Showtime but have yet not done so because of the historical way premium cable has been packaged. OTT will facilitate sign-ups with them as well. So just like HBO now is proving, we see tremendous opportunity at Showtime. This new over-the-top service and the international expansion we told you about last quarter are made possible by the incredible creative success story we have going right now at Showtime. We have more hit shows on the network than ever before, and the majority of them are owned by us and are just being monetized. We're constantly adding to this pipeline, including a terrific new drama coming up called Billions that is currently in production. It's about the inner workings of Wall Street hotshots, and I predict it will find an audience with a number of people right here on this very call. And of course, last weekend, we had what we're confident will be the highest grossing pay-per-view fight of all time between Floyd Mayweather and Manny Pacquiao. This event clearly captured the world's attention, and in doing so, provided us with a nice profit and a terrific opportunity for Showtime to continue elevating its now global brand. Our world-class content is also making its mark at Simon & Schuster. We're very pleased that All the Light We Cannot See by Anthony Doerr won the 2015 Pulitzer Prize for Fiction. This book has been a huge success. It's been on the bestseller list for an entire year now, with sales approaching 2 million copies. Needless to say, we're extremely honored by this prestigious award. At our local businesses, as the weather has improved after a tough winter, so is advertising. Our TV stations continue to benefit from our retrans and reverse comp deals as well as our big event programming. Sales revenue for the NCAA Men's Basketball Championship game were up double digits over last year, and our stations attracted record sales for the Academy of Country Music Awards. And in radio, we have welcomed an impressive executive, Andre Fernandez, to serve as our new President. Andre took the reins from a friend and longtime colleague, Dan Mason, who retired last month. Andre has a successful track record as President of a public company portfolio of newspapers, TV and radio stations and digital assets. We look forward to all that he will do to build on our major market strategy and keep radio growing into the future. So across our company, we're moving forward from a position of great strength, and it all starts with our content where we continue to grow our audience and reach new viewers. This season, we added to the pipeline at least a half a dozen new shows, including 4 from CBS, 1 from Showtime and 1 from The CW, all of which we own. Each of these shows is just beginning to be sold internationally in syndication and in SVOD. This represents the most shows that we've ever launched in a single year since we became the new CBS Corporation 9 years ago. And in that regard, it's quite possibly the best season anyone has ever had. We look forward to these shows paying off for years to come, and we'll be planting the seeds for more in the coming weeks. At the same time, advertising is improving, and our nonadvertising revenue streams are benefiting from new opportunities all the time. From 500 channels to ala carte, from over-the-air to over-the-top, CBS is must-have programming. This fact is not changing no matter how fast the world may be. So I'm very pleased about all we continue to achieve, and I'm even more excited about all that we have left to do. With that, I'll turn it over to Joe.
Joseph R. Ianniello: Thanks, Les, and good afternoon, everyone. I want to start by echoing Les's remarks about how excited we are to compete in this ever-changing media landscape. When you have the content, the strategy and the balance sheet that we do, the opportunities are enormous. Before I take you through the numbers, I want to discuss our ever-changing revenue mix, which is a big part of our overall strategic plan. One of the great benefits of our transformation into a content-centric company is that we continue to find new ways to monetize our shows. Advertising represented 51% of total revenue during the quarter, with the other 49% coming from high-margin, fast-growing revenue streams. These streams are led by retrans and reverse comp, international licensing and increasingly innovative distribution platforms such as CBS All Access. In fact, our $6 a month over-the-top service is far exceeding our expectations, and it underscores our value in retrans and reverse comp negotiations. And at the same time that we are growing our diverse revenue sources, we are also expanding our content pipeline in a big way by investing in premium programming, resulting in new hits across our networks that we can monetize for years to come. So we are very well positioned for the future, and we remain committed as ever to returning value to our shareholders. In January, we took advantage of very attractive interest rates to raise $1.2 billion of debt, and we used that cash to repurchase stock at an accelerated pace early in the quarter. As a result, we retired 17.2 million shares at an average price of $58 per share for a total of $1 billion in Q1. As of March 31, we had $3.8 billion remaining on our share repurchase program, which as we've told you previously, we plan to complete sometime in 2016. In addition, given our change in revenue mix and our free cash flow generation, we are now comfortable broadening our debt to OIBDA target ratio to a range of 2.5x to 2.75x. Just as we always do, we will revisit our capital return opportunities with our board when we near the completion of our existing plan. Now let me give you some more details about our first quarter results. Revenue came in at $3.5 billion compared with $3.57 billion last year. Advertising was down 5%, primarily because of an additional NFL playoff game we had in Q1 of last year, but the good news is underlying network advertising was up 1%. Affiliate and subscription fees were up double digits for the second consecutive quarter, thanks to our new retrans and reverse comp deals, and content licensing and distribution was down 4%. As you know, by now, these fees can vary from quarter to quarter depending on the timing of content availability. As we told you on our last call, we are now using operating income as a key financial metric instead of OIBDA. For the first quarter, operating income came in at $702 million compared with $791 million in 2014, reflecting our continued investment in programming. Just to give you some perspective, our CBS Television Studios produced more than 30 hours of originals for CBS and The CW in Q1 of 2015 compared with last year. At an average price of a few million dollars per hour, this investment is our highest ROI and will pay back in the years ahead as we sell these shows across multiple platforms around the world. As you heard, we also turned in our best-ever first quarter for EPS, which was up 1% to $0.78. And we did this despite a foreign exchange impact that cost us $0.04 of EPS during the quarter. Now let's turn to our operating segments. First quarter entertainment revenue was $2.26 billion, down 2% from last year when we had that additional NFL playoff game that I just mentioned. However, this segment benefited from our new retrans and reverse comp agreements, which resulted in higher network affiliation fees. In addition, our interactive businesses delivered a strong revenue quarter, driven by CBS All Access, CBSN and our CBS Sports websites. Entertainment operating income for the quarter came in at $346 million. Again, this reflects our investment in more originals, including NCIS: New Orleans, Madam Secretary and Scorpion at CBS and Jane the Virgin at The CW. And the best part is we have not yet begun to monetize those episodes on SVOD or domestic syndication. In Cable Networks, first quarter revenue came in at $539 million, up from $537 million last year. We offset last year's significant streaming sale of Dexter with growth in affiliate fees as well as higher international licensing fees, which were helped by our deal with Bell Media in Canada. Stable operating income for the first quarter was $251 million, down $3 million from 2014. This reflects the timing of the actual programming as well as an investment to increase our bandwidth infrastructure as we prepare for the launch of Showtime over-the-top. Even so, our cable operating income margin held strong at 47%. In publishing, Q1 revenue was $145 million, down $8 million from last year. However, operating profit was up 9% to $12 million as digital content, which is more profitable than print, increased to 31% of total publishing revenue for the quarter. We continue to turn out great content here as well, with 64 New York Times bestsellers during the quarter, including 3 that hit #1. In Local Broadcasting, first quarter revenue came in at $596 million, down 5%. TV stations were down 3%, and radio stations were down 7%. I'd like to remind you, as a result of our radio station swap with Beasley last year, we now have 9 fewer radio stations in our portfolio. In addition, the harsh weather that hit Boston, New York, Chicago, Philadelphia and Detroit where we have 40 TV and radio stations contributed to the advertising slowdown that we saw during the quarter, particularly in the retail and entertainment categories. However, we are seeing a pickup across several key advertising categories in Q2. And Local Broadcasting operating income during the quarter was $161 million, down from $179 million. Turning to cash flow and the balance sheet. Free cash flow for the first quarter came in at $400 million compared with $520 million last year due to our higher sports and original prime time programming investments, and we finished the quarter with $331 million of cash on hand and gross debt of $7.7 billion. Now let me tell you what we see ahead. Advertising at our local businesses is improving. Our stations are pacing to be about even with Q2 as we begin to comp against increased political spending from a year ago. We also expect our nonadvertising revenue streams to grow. In particular, we have just about under 20% of our footprint coming up for renewal in retrans and reverse comp during the rest of 2015. So affiliate and subscription fees will ramp up throughout the year. In addition, we expect Showtime over-the-top to be a meaningful driver of our cable results in the near future. There was a large underserved market here, and we anticipate strong demand for this service. And of course, we continue to have a lot of headwind to grow internationally as well as our international sales team had 6 freshmen hits in their arsenal that they have to sell. So in summary, our first quarter once again speaks to the strength of our strategy, which is to monetize our content across an increasing number of revenue streams. We are focused on producing the best content, and here at CBS, we remain at the top of our game. Our investment in programming led to an unprecedented number of hits across CBS, Showtime and The CW this season. Each new hit adds to our pipeline, which is looking as strong as it has in years. So from retrans and reverse comp, to multi-platform syndication, to over-the-top services, there are terrific opportunities before us, and that is why we are so confident that we have a bright future ahead. With that, Gwen, let's open the line for questions, please?
Operator: [Operator Instructions] And we'll go first to David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: First off, I'd like to lend my service to you as highly paid creative consultant on Billions. So I'll be waiting for a call after this call.
Leslie Moonves: Join the list. We have quite a list on that.
David Bank - RBC Capital Markets, LLC, Research Division: So I had 2 questions, one for Les and one for Joe. The first is for Les. Look, our understanding from what we see from the buy side of syndicated programming is that linear -- on a linear side, it certainly seems to be directly tied to audience deliveries in the prime first-run. And I think there are some concern amongst investors that as you get changing viewership habits, whether or not people are actually watching less first-run prime, certainly, maybe some of that viewership isn't being measured and you are going to get lower ratings. And as a result, do you get lower pricing per episode for your content? And when you think about the other platforms where you're also monetizing, if there is a direct relationship between ratings and kind of what the value of an episode is in linear, how do you determine that kind of -- what determines the pricing on SVOD? How tied is it to ratings on the international market? That's first. And I guess, for Joe, we noticed that Moody's had some positive comments out on your increased financial flexibility and what they thought with the increased financial flexibility given the kind of shift in your revenue mix more toward contractual revenue. So given that you've broadened the target leverage range to 2.5x to 2.75x, do you think -- do you expect to complete the existing buyback authorization earlier than you did previously when you gave that initial target?
Leslie Moonves: Thanks, David. I'll deal with the first one. As I mentioned, look, we're in a changing landscape, but the great news is in measurable number of viewers that we are getting paid for, we are above where we were 11 years ago. So yes, there's more that goes to DVR usage, there's more that's online, there's more -- however, the advertising dollars per viewer is higher than it's ever been, and we are extremely excited about that. In terms of the international marketplace, it's never been stronger because guess what, SVOD is growing rapidly in each of these places. Plus, the international marketplace is expanding into Asia more and obviously eastern Europe and Latin America, markets that didn't exist. But as I said, SVOD, there's a great deal of competition now throughout the major territories that we do business with. And SVOD, once again -- as I mentioned, Hulu is now a major player. They spent $180 million on Seinfeld. By the way, we own 9% of that show, just parenthetically. So clearly, there's another player in the marketplace that's saying, "This show that hasn't been on the air for 10 years is worth that kind of money." So with Netflix still playing strong, with Amazon playing strong, with Hulu, you see all sorts of other programmers getting into the marketplace. And as long as we continue doing what is our job, which is to produce hit content, we're going to be fine, and we're going to grow a lot. Joe?
Joseph R. Ianniello: And David, for the leverage ratio, again, I think we told you for some time, again, we've been focused on changing the business model. And I think the agencies certainly have acknowledged that. So yes, there is no change really to the timing. I think again, we said completed sometime in '15. So if you kind of just look at '16, if you just look at that...
David Bank - RBC Capital Markets, LLC, Research Division: You can make it '15 if you want.
Joseph R. Ianniello: 5 to 7 quarters, I mean, you can kind of just roll that out. What I would just point to is that's a $6 billion program, which is 20% of our market cap within 2 years. So I'd say we're kind of putting our money where our mouth is.
Operator: And we'll go next to Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: For Les, so just -- both or whoever wants to take it. But -- and you seem really excited about some of the strategic ventures for good reasons. Could you -- can we just hone in on a couple of them? On Showtime over-the-top, there's a huge audience that doesn't get Showtime right now, and that's pretty obvious. You seem really bullish about the prospects. How will you price it -- so you don't cannibalize pay TV right now. And how will you market, who's going to sell it? And the same thing for Apple, I mean, there's a lot of speculation on pricing. You did say you got a bigger slice in a skinny bundle. Several million subs can make a huge difference to your bottom line. So can you talk about timing and maybe other -- Apple, anything you can say on pricing and others coming down the road?
Leslie Moonves: We don't want to get too specific, and I think we both can answer the question. Obviously, Showtime over-the-top -- Showtime's in about 23 million homes right now. They have a universe of over 100 million homes. And as we said, you have to get the basic cable package, then you have to check off HBO before you -- so you're already spending like $120 before you get Showtime. Now and once again, we are going to deal with our existing partners and new partners, but there is going to be an easier way to just check the box and get Showtime. We will make more money on each Showtime sub than we currently do in the existing universe. We're not going to get specific now because those numbers are continuing to be worked out. And once again, in a smaller bundle, some of you that offer 20 channels at a lower price point, we're going to be a more important part of that bundle. So whether it's Apple or Sony or anyone else, the amount of money we're getting per sub once again goes up a lot. And as you said, just a couple of million more subs in each one of these categories is a huge amount of revenue and profit for us. Joe, anything to add?
Joseph R. Ianniello: No.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: And then the second question is -- obviously, the success of the company over the last 5, 10 years has been to -- your enormous success in your programming. And you said you could scale up. Do you think you'll have any success this season selling outside the CBS family or you've been trying to?
Leslie Moonves: We -- look, we have shows in development out there, whether they get on, we -- I think there'll be a couple of shows on other cable networks that we don't own. I doubt there'll be other networks, but between Showtime, CBS and CW, we're producing more than 40 shows right now, including Perks [ph] Simplification. So we have quite a lot going on, and I think we will be selling to other places.
Operator: We'll go next to Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Les, I don't know if this is meant to be an increase. I'm sort of reading it as one, but you talked about $2 billion in retrans and reverse comp or more -- sorry, into 2020, if not before. Just the question is, is that an increase from your prior expectation? And if so, are you factoring in some of these new entrants or other additional distribution platforms that you weren't before? And then I have a follow-up for Joe.
Leslie Moonves: I think it's a few things. Look, put it this way: We're even more confident than before of the $2 billion. We think we're going to get beyond that. Yes, there are new entrants, as everybody knows. In addition, the price of poker has gone up. With every succeeding deal, we have said we're going to get more money, and there is now other rights that are available and other products that's available. So yes, that $2 billion, we consider to be a conservative number at this point in time.
Benjamin Swinburne - Morgan Stanley, Research Division: Great. And then, Joe, just on the Bell Media deal, I know you can't size it for us per se. But just given the way the revenue is recognized, I don't know if you could spend a minute on that, and whether sort of this business kind of has a quarterly run rate. Is it lumpy? Or do we see sort of Q2, 3, 4 the same kind of revenue we saw on Q1? How does it work just qualitatively?
Joseph R. Ianniello: I mean, just think about this as they're paying agreed-upon fees per show. They're paying for the trademark, the brand. So as we continue to produce shows, they're going to pay. So it's not kind of like a one-wonder in terms of it's only in 1 quarter. So this is a multiyear agreement that obviously, we're pretty excited about. By the way, the brand at Bell Media, this Crave TV, is called Crave TV in Canada. So we're pretty excited about it, but Ben, and really the bigger opportunity is we're saying it works in Canada. I think it can work in many other countries. It's just really what's working is the content and the brand. And so that's really given us great hope that this can be one of many.
Benjamin Swinburne - Morgan Stanley, Research Division: So this isn't tied specifically to a Q1 delivery as this is more ongoing.
Joseph R. Ianniello: I mean -- and let's think about it as an output. As we're reporting on shows, there's much more in the pipeline. So Les mentioned Billions. So Billions will be on this on-demand service, and we've kind of prenegotiated what those rates are. So it gives us great visibility into the revenue -- the future revenue prospects of Showtime.
Operator: And we'll go next to Michael Morris with Guggenheim Securities.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: A couple questions about All Access. I guess, first, just real briefly, would you be willing to share any information on the uptake of the product at this point or penetration of usage where it is available?
Leslie Moonves: No. We are very pleased it's exceeding expectations, as we mentioned. We have over half the country involved now, and that's just with the live feed. And we expect by the beginning of the fall season, by September, to virtually have the entire country covered with that. And once again, it's sort of the first opportunity for the affiliate body to share in our $6 rate, and they are very pleased about it by and large, and we are happy to have them promoting it and marketing it alongside us.
Joseph R. Ianniello: And Mike, it's Joe. Obviously, what really excited us is the $6 price point. The take rate on the $6 price point really gives us a lot of confidence. When we go talk to our distribution partners at selling it at a discount to that, we have proof in the marketplace that this is fair market value.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: Joe, that's great. That was the second question I wanted to ask. Because Les mentioned, I think, that the majority of the usage is catch-up viewing, and I think -- it seems to me that maybe 2 incremental opportunities for you with traditional distributors right now are out-of-home rights and stacked viewing, which just seems like this product people are willing to pay for. So I guess that -- my question there is, on those 2 facets, how much of your current sub bases is penetrated on and you're getting paid for those 2 services? And how does that unfold over the next, I don't know, year to several years?
Joseph R. Ianniello: Yes. We've not sold -- obviously, in-season content to any partner and nor out-of-home rights for CBS. So I think, as Les mentioned, as we look at consumption on All Access, what's driving it is national VOD. So the appetite seems to be -- traditionally, on cbs.com, we have a 7-day delay. So it seems like the consumer wants it quicker, and again, at a $6 price point, it makes it very attractive to us. So again, as we continue to roll this out, it's giving us more and more confidence in our content.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: Do you expect your distribution deals to contemplate having broader stack rights in the near future?
Joseph R. Ianniello: We suspect the demand for out-of-home rights delivered in multiple ways is growing, and it's really being driven by the consumer because of their crazy schedules and the way they consume it. So clearly, that will be part of future negotiations, and we're happy to talk about what the value of those rights are. But clearly, we're demonstrating it with the $6 price point.
Operator: And we'll go next to Anthony DiClemente with Nomura.
Anthony J. DiClemente - Nomura Securities Co. Ltd., Research Division: Couple of questions for Les. Les, last night, on the FOX call, Chase said that viewers are not going to be captive viewers that sit through 16 minutes of advertising, that ads need to be more engaging and more interactive. You said in your prepared remarks that no ads are more effective than CBS's ads. The question is, what gives you the confidence that network TV ads are still as effective for marketers as, let's say, a YouTube TrueView ad or a Facebook auto-play ad online? And then a related question, on the Disney call, Bob Iger said that money is definitely migrated out of traditional media into new media. And when we think about some of the contributing factors to that, one of them could be that the agencies are incentivized to advise their clients to shift to digital because the margins for them are higher. I'm wondering if you think that's kind of a structural frustration for you guys and how you feel about the agency's role in this shift to digital.
Leslie Moonves: In terms of the first question, we have done extensive studies through Poltrack that shows that the consumers are much more engaged and the return on investment for the advertisers is much more effective at CBS. May I also add, our ratings are -- when you look at viewers overall, they're considerably higher than Fox, and they're in different businesses than we are, and our numbers are considerably better. And our advertising, we think, is more effective from the engagement that we have in the kind of shows that we do. Yes, there is a lot written, to Bob Iger's point, about the shifting marketplace into the digital. Obviously, we have a number of digital assets, and we are seeing a rise in those. As I said, we do not see it affecting the broader-based television advertising platform. We think, once again, it's affecting the niche cable networks much more, that it's much more effective or it can be to go digital when you're trying to do that, than reach a broad audience. So those who have more basic cable assets may be that -- like Bob does, maybe they are seeing a shift there in digital. We are not seeing the shift out of network. We're seeing scatter pricing being up, and we're looking forward to the upfront where we expect volume and pricing both could be up fairly significantly.
Operator: And we'll take our next question from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Given your success in the TV studio business and the impressive commentary you had about the ROI there, I guess, what is your appetite to expand that business or acquire other businesses in that area or just build upon it? Then I have a follow-up.
Joseph R. Ianniello: Look, Alexia, this is Joe. Look, we can expand that if the content -- all the elements are there. And so to produce great content, you need great script. You need writers, producers and stuff. So we can grow that organically. We don't necessarily need acquisitions to grow our studio, expand our studio. If the right opportunity is there, we're always looking at those things. However, I think just by the last year, we have demonstrated -- as we just said, this last quarter, our same studio, without an acquisition, is producing 30 more hours of original content. So we don't need to stop there.
Leslie Moonves: Plus 6 new hits, plus late night shows. Our studio is very proactive, and by that, you don't necessarily have to acquire companies. You acquire talent like Colbert and Corden, and you bring them into your home. You acquired talent like Nick Santora [ph] who created Scorpion. And that's what we do, and that's what we've done for many years, and that's how we expand our content business.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: And then just following up on your comments on over-the-top. And when you consider -- when you're considering CBS's participations on these over-the-top offerings which you have, I guess, how much of the advertising model or the advertising potential even a consideration -- or is really just all about the incremental sub fees at this point?
Joseph R. Ianniello: Well, look, the advertising is still 50% of our business. So it's definitely still important; it's part of our conversation. I think when you see us do deals with partners, we disable fast-forward in our deals, so it's clearly an important part of our mix. But again, obviously, we're looking at the overall business model and how it's transforming. And again, we want to price our content right.
Operator: And we'll go next to Doug Mitchelson with UBS.
Douglas D. Mitchelson - UBS Investment Bank, Research Division: So Chase Carey yesterday indicated -- they were thinking that broadcast networks need to control more of the rights or all the rights of their shows. And that contrasted to me with your comments, Les...
Leslie Moonves: Doug, could you speak louder, please? We're having trouble hearing you.
Douglas D. Mitchelson - UBS Investment Bank, Research Division: Can you hear me now?
Joseph R. Ianniello: A little bit.
Leslie Moonves: A little better.
Douglas D. Mitchelson - UBS Investment Bank, Research Division: All right. So look, Chase Carey yesterday indicated, they think broadcast networks need to control most or all the rights of their shows going forward. And that contrasted to me with your comments, Les, around the fact that you sell shows multiple times, which has obviously been the nature of the business on the TV programming side so far. So when you think about CBS All Access and the value proposition it offers and you mentioned catch-up viewing driving that business, it would seem to make sense that you start to have stacking rights and SVOD rights built into CBS All Access. Do you see a world where rather than selling shows and slicing and dicing them in multiple ways, you just run the power of those TV shows through your own distribution, trying to capture full value?
Leslie Moonves: The marketplace is evolving so rapidly. Look, we are slicing and dicing and then putting on different platforms, and some of those platforms may be looked on as potential competitors. And as CBS All Access grows, that may be the sole place where we stack those shows and where we put those shows. But at the moment, every show that we have, we treat it as entirely different property and sell it in a very different way and have a real strategy to most effectively sell that. As soon as All Access hits 20 million subs, then we may look at the world a little bit differently.
Douglas D. Mitchelson - UBS Investment Bank, Research Division: That's fair. And then on the upfront, your comments about significant increases in the volume and price, I know you're not going to give us a number, but does that -- should that suggest to all of us that you expect the upfront to perhaps do better than some of the prognosticators have expected? Or are you just talking about your specific market position?
Leslie Moonves: Put it this way -- and there are clear -- there are certain networks that have done very well this year and certain networks that haven't done so well. I'm not going to go into great detail, but you could figure that out yourselves. So we are up, and we expect it to be a good marketplace.
Operator: And we'll go next to David Miller with Topeka Capital Markets.
David W. Miller - Topeka Capital Markets Inc., Research Division: Les, as you gear up for the upfront coming up here, we're hearing from some of our media buyer sources that the currency this year in broadcast will be sort of 1 of 2 different kind of sub-currencies: live ratings and C7. And it just feels like -- correct me if you think I'm wrong, it just feels like C3 is getting sort of pushed under the rug, kind of going by the wayside in terms of overall importance. Do you believe that? Or do you agree with that? And one thing in your negotiations is why do you want to favor C7 anyway just because of the strength of your Monday and Tuesday night schedule, which clearly everyone watches on DVR over the weekends?
Leslie Moonves: Well, thank you, David. Look, the DVR numbers are going up in leaps and bounds. You take a show like Elementary which -- where you're adding a C7 number, it basically goes up by 50%. So I made this statement which I think is more true than ever: Overnight ratings are virtually useless unless you just want to feel good in the morning or feel bad, depending on what network you have. So C7, definitely, we expect it to overwhelm C3 in the coming upfront, we hope so, we think it's more appropriate. And judging from the feedback we're getting from a lot more advertising agencies, we think that will be the currency. Obviously, some of the live programming like sports and live events, that currency becomes much more important. So we are capable of selling it both ways, but our scripted programming, most specifically our scripted dramas and more than anything else -- and the comedies as well, that extra 7 days means a great deal.
Operator: And we'll go next to John Janedis with Jefferies.
John Janedis - Jefferies LLC, Research Division: Les, you started the call talking about changing consumer habits. With the emergence of your apps and technology broadly, I was hoping you could talk more about your views on mobile platforms. Some of the concern in the market is the challenge in monetizing mobile usage at all or the big discount to the traditional platforms. So what line of sight do you have on improved monetization on the platform that's meaning mobile?
Leslie Moonves: I'm going to let Joe deal with that.
Joseph R. Ianniello: Yes, sure. Look, it's definitely consumer. So as the consumer wants to consume the content on a mobile device, that's what's really driving that. What we're going to do is we're going to make sure we cut deals that make sense for us to have the content where the consumer wants it. So as Les said at the outset, it's our job is to produce the best content and again -- and market it and get it in front of the consumers in a business model that's better than where we sit today. And I think every indication, from a technological standpoint or a consumer habit standpoint, basically proves that out.
Operator: And we'll go next to Jason Bazinet with Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: Just one for Mr. Moonves. I understand why everyone is very excited about Showtime over-the-top and CBS All Access. But at the same time, I'm struck by Netflix's market cap and how excited people are about -- to sort of their broader international push. Is there a holistic strategy that you all have to sort of take all of your content and do something broader globally, as opposed to sort of the narrow initiatives that we're all talking about that people are justifiably excited about? Is there something bigger?
Leslie Moonves: You know what, it's a very good question, Jason. I guess, eventually, that will be part of what we do. Remember, when Netflix started, I don't think they had this great international game plan. When they achieved such great subscriber success here in the U.S. with the product, and obviously, the model was working, everybody was supportive of it -- but right now, All Access is about 6 months old, Showtime OTT is going to be launched in a few months. We hope they achieve such a high level of success that we do push them internationally. Look, we are in control of this content. That's the big change in the world. So we control over 80% of the shows that are on CBS at a similar percentage on Showtime. So now we can move from market to market, like we did in Canada with Showtime, territory to territory, and we can have a bigger global footprint with exactly what you're talking about.
Operator: And we'll go next to Bryan Kraft with Deutsche Bank.
Bryan D. Kraft - Deutsche Bank AG, Research Division: Had a question for Les and one for Joe. Les, I know you shared your thoughts on the upfront already, but can you comment on the current scatter market pricing market and volume trends you're seeing? And Joe, on the leverage target raise, is the idea here that you'll use the additional flexibility to buy back more shares? Or is this dry powder for an opportunistic investment or transaction? And I guess, further on that front, how married are you to the new leverage target range in the short term? I mean, would you lever up higher temporarily if an opportunistic transaction were to present itself?
Leslie Moonves: Bryan, the scatter market is very strong. It's up double digits right now. As I said earlier, we're really pleased -- normally, at this time of the year, we have lot more repeats than we do, but we've got a much larger percentage of original programming, and our schedule remains very strong. So we're very pleased with what we're seeing, and that demand has increased since the beginning of the year. Now -- and as I said, we're heading into the upfront at a very good time where we're feeling very strong about the marketplace.
Joseph R. Ianniello: And Brian, on the leverage ratio, obviously, we are increasing our financial flexibility there that's why we felt comfortable increasing it. Basically, we're going to use that financial flexibility, first and foremost, to reinvest in our business. I think that's key. We do not see any acquisition out there of any significance for that. And then the excess capital is always -- we're going to focus on returning value to shareholders. And our primary method right now is obviously returning value via stock buyback given where the stock is and all these initiatives that you just heard on the call. So we're pretty optimistic about our future earnings potential. So we think it's a good buy. So like I said earlier, we're kind of putting our money where our mouth is, and we're going to continue to do that.
Operator: And we'll go next to Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I have 2. And I guess, hypothetically, when you're discussing the over-the-top products within Apple or Sony, and they want to do the linear feed, how do the station groups fall into this? Is this something where you would negotiate on behalf of the entire affiliate body and then figure out what their cut is? That's my first question. And then my second question is, I know radio is small, but the trades are going to pick up the 7% decline. Is there a core number you can give if you were to exclude the radio stations that were swapped last year?
Joseph R. Ianniello: Yes. Marci, it's Joe. As far as the OTT, obviously, as we roll those out, we can do that in different ways. I think the affiliates could go and try to negotiate those one-off and pay us for the content for those rights, or we do it globally, and they get a piece of that. I think again, it's 6 to 1, half dozen or the other, whichever way, CBS is going to get its fair share of the value of that. So -- and like I said, on the over-the-top service that we have today, most of the viewership is the video-on-demand product the next day so -- which again, we own 100% of. So I think that's going to continue to roll out across the country, and we're pretty excited about that. As Les said, we're clearing the live linear piece by the end of the year in most of the country. So that's speaks for itself, and again, the affiliates are participating in this. This is a partnership that they will participate, but we do own the intellectual property of that content. As far as radio, look, obviously, it's much smaller than the 7. I think again, I don't know how you quantify the impact on the weather and stuff when you strip that out to get to a pure underlying, but I think again, we tried to give you some color about the second quarter. We think that's more indicative of the current marketplace, of what it is, and we have high expectations for our new President.
Leslie Moonves: Thank you, Marci, and thank you, everyone, for joining us. This concludes today's call. Have a good evening.
Operator: Thank you, everyone. That does conclude today's conference. We thank you for your participation.